Operator: Good afternoon. My name is Chris, and I will be your conference operator today. At this time, I would like to welcome everyone to TerrAscend’s Second Quarter 2024 Financial Results Conference Call. Joining us for today’s call is Jason Wild, Executive Chairman; Ziad Ghanem, President and Chief Executive Officer; and Keith Stauffer, Chief Financial Officer. Our remarks today include forward-looking statements, including statements with respect to the company’s outlook, including the company's expected financial results for the third quarter of 2024 and estimates and assumptions relating thereto and the company’s expectations regarding its new market opportunities such as Ohio, the likelihood and benefits of the company's tax refund claims for past years, the expectations regarding regulatory reform and the potential benefits thereof. Each forward-looking statements discussed in today’s call is subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements, and reported results should not be considered as an indication for future performance. Additional information regarding these factors appears under the heading Risk Factors in the company’s Form 10-K filed with the Securities and Exchange Commission or the SEC and other filings that the company makes with the SEC from time to time, which are available at www.sec.gov, on SEDAR+ and on the company’s website at www.terrascend.com. The forward-looking statements in this call speak only as of today’s date and we undertake no obligation to update or revise any of these statements. Also, during the call, the company will present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today’s earnings press release and our quarterly report on Form 10-Q for the quarter ended June 30, 2024, which you can find on the company's Investor Relations website or on the SEC and the SEDAR+ websites. I would like to introduce Mr. Jason Wild. Please go ahead.
Jason Wild: Good evening, everyone, and thank you for joining us. The team and I are pleased with our accomplishments thus far in 2024. Financially, we reported yet another quarter of year-over-year net revenue and adjusted EBITDA growth as well as positive operating and free cash flow. For the quarter, net revenue totaled $77.5 million, an increase of 7.5% year-over-year, and adjusted EBITDA from continuing operations totaled $15.6 million, an increase of 21.9% year-over-year. Our second quarter of 2024 marks our eighth consecutive quarter of positive cash flow from continuing operations totaling $13.1 million compared to $1.8 million for the same period last year. We also generated positive free cash flow for the quarter totaling $11.7 million. In addition to driving revenue and profitability, refinancing of our debt has also been a priority. We worked diligently through a competitive process and are pleased to have recently closed on a $140 million senior secured loan that matures in August of 2028 and contains no prepayment penalties. This provides optionality for TerrAscend to capitalize on future progress in federal reform or on any substantial interest rate improvement based upon macroeconomic factors. The proceeds of this loan are being used to pay down our existing debt, which matures later this year and carried a slightly higher blended rate. The balance of the proceeds are available for M&A transactions focused on our geographic expansion plans. I'd like to thank Focus Growth to lead lender on this new loan as well as the other lenders who participated in the syndicate for their trust in and support TerrAscend. We have enjoyed working with the Focus Growth team on this transaction and are already working closely together to evaluate additional opportunities. I also elected to participate in the loan in line with my ongoing support for the company on both the equity and debt side of the capital structure. Completing this deal was an important milestone for the company as this refinancing provides us with the financial flexibility and optionality to execute on our growth strategy. I'm thrilled that we will now have no other material debt maturing until late 2027. For several quarters, we have highlighted the greenfield expansion opportunities and possible transformational deals that we are actively pursuing. We believe that TerrAscend focused approach has put us in a differentiated position compared to our peers to invest in the best geographies and assets at attractive valuations. On this subject, the Midwest is a priority for us. We have openly discussed our interest in Ohio as the state begins to implement adult-use. We are focused on the larger Tier 1 licenses, which would allow us to operate up to 100,000 square feet of Canopy and up to eight dispensaries. Today, we are in active discussions with multiple operators in Ohio and expect to close in on at least one of the opportunities in the near-term. When we enter any market, our goal is to be a market leader. Our expectations for Ohio are no different. With Michigan and Suno [ph], Ohio, we expect to be able to leverage our existing SG&A infrastructure in the Midwest, enabling us to make Michigan and any new states more profitable for us combined rather than on a standalone basis. From a federal perspective, we continue to see progress with cannabis reform. July 22 was the deadline for the 60-day public comment period regarding the DEA's proposed rescheduling rule. According to data from headset, over 92% of those comments were in favor of rescheduling or descheduling. While this is still subject to final ruling by the DEA, we believe that reschedule and cannabis to Schedule III would be a landmark event for TerrAscend, the entire cannabis industry as well as cannabis consumers and patients. Rescheduling would result in the elimination of punitive unfair tax treatment. It would also provide cannabis companies with greater access to capital, reduce costs and unlock restrictions on medical research. While encouraged by the rescheduling process and monitoring the actions being taken in Congress, we are proud to have taken a leadership role as a foundational supporter of the case against the US Attorney General being led by David Boies. The case is progressing as expected, and we were especially pleased that the District Court acknowledged that there are persuasive reasons for a reexamination of the way the Controlled Substances Act regulates marijuana and stated that the plaintiffs can pursue their claims and seek attention of the Supreme Court. David Boies believes the case can be heard by the Supreme Court next year. The bottom line is the cannabis companies just want to be treated like every other business in the US, and we think the Supreme Court justices will agree. Given the uncertainty surrounding federal reform, from a business perspective, we will continue to focus on controlling what we can control. Thus far in 2024, I'm proud of what we have accomplished. We have the right team, high-performing assets, strong cash flow and the financial flexibility, along with possible greenfield expansion and transformational deal opportunities. The cannabis industry is still in the very early stages of its development. This quarter marks our fifth anniversary of operating in the US. If you said to me then that we would be reporting a quarter with almost $78 million of revenue, 48% gross margins and positive cash flow, I would have been pleased. If you then tell me that the stock today would be down 75% from when it was pre-revenue in the US, I'm not sure that I would have believed you. I would have been very disappointed and I am very disappointed. The question I often get is, so if the company is better positioned today than it was five years ago, why is the stock price so much lower than it was. As famed investor Benjamin Graham famously stated, in the short run, the market is a voting machine. But in the long run, it's a weighing machine. Clearly, there was a lot of voting going on during the cannabis boom times of 2020 into 2021 and much less weighing. For the last three years, it's been the opposite. Jeff Bezos wrote in his letter to shareholders, while reflecting on Amazon's 90% decrease in stock price in the year 2000, "We are a company that wants to be weighed and over the long-term, we will be. Over the long-term, all companies are. In the meantime, we have our heads down working to build a heavier and heavier company." This has been our guiding principle at TerrAscend and a concept that we remind ourselves of often. Now, I'll turn the call over to Ziad to provide an update across our key markets. Ziad?
Ziad Ghanem: Thank you, Jason, and hello, everyone. As Jason mentioned, we have accomplished a tremendous amount thus far in 2024. Let me share how we performed state-by-state for the quarter in our key markets. Starting with New Jersey, we are thrilled that according to BDSA, TerrAscend held the number one market share position in the state throughout the first half of 2024. This top spot was accomplished with breadth across all categories, with our brands holding top three positions in flower, vapes, edibles, and concentrates. As the market has expanded and more retailers have come online over the past year, our revenue mix has shifted towards wholesale versus retail. This has been the trend over the last several quarters and for the second quarter, while wholesale revenue was down sequentially and below our internal expectations, it still increased 100% year-over-year, and we maintained the number one market share position in Q2. At retail, we returned to sequential growth for the first time in four quarters. As background, our retail sales declined for three consecutive quarters in New Jersey, driven by the opening of over 103 stores within 20 miles of our three stores. These declines have now dissipated. This speaks to the quality of our products, the relationship that our customers have with our brands, and the Apothecarium's best-in-class retail experience. We have maintained strong gross profit margins, EBITDA margins, and cash flow in New Jersey, largely due to the performance of our brands, high cultivation yields, product quality, and our low-cost structure. We continue to explore opportunities to expand our retail footprint under safe legislation that enables existing operators to take stakes in up to seven additional social equity qualifying dispensaries. This would further increase margins and profitability. Turning to Maryland, retail and wholesale revenue remained stable sequentially. During the quarter, we completed the expansion of additional rooms at our Hagerstown facility and have started to benefit from this increased flower capacity in recent weeks. As a result of this expansion, we expect continued wholesale growth in Maryland as well as increased verticality in our four dispensaries, thereby enabling further gross margin improvements going forward. In early June, we relocated one of our stores to a new location in Nottingham, a larger and more conveniently located store that offers drive-through and extended floor space. As of today, with our four retail dispensary locations, while BDSA does not track retail market share in Maryland, we believe we have one of the highest performing retail footprint in the state. In Pennsylvania, it was business as usual during the second quarter of 2024. While retail revenue was stable, we have doubled wholesale revenue year-over-year, driven by strong performance of our value-oriented Legend brand and expansion into the edibles category with our Valhalla and Wana brands. We remain optimistic that Pennsylvania will approve adult use in 2025. Earlier this year, Pennsylvania Governor Josh Shapiro, formally endorsed his support for an expedited adult-use cannabis program by January 1, 2025. As we have mentioned many times, we believe Pennsylvania will be a significant growth lever for the company. With a population of $12 million, the state is expected to grow from a $1.2 billion medical-only state to a $2 billion-plus adult-use market by 2028 according to BDSA. As we approach 2025 and get more clarity on timing, we are preparing to hit the ground running when adult-use does launch in the state. This includes planning to turn on additional capacity at our cultivation facility to give us the approximate 5-month lead time needed to harvest. Once we bring the additional rooms online, we expect to have one of the largest cultivation output in the state. And lastly, in Michigan, our main focus has been on improving operational efficiency and driving gross margin to establish a solid foundation from which to expand. As a result, gross margins surpassed 40% for the third consecutive quarter. We currently have 20 locations in this state, including the recent opening of our second Detroit location. We expect to scale our operational footprint in the Midwest by entering new neighboring states to Michigan, such as Ohio. Doing so will offer us the opportunity to more effectively leverage our operating expenses by running Michigan regionally. In the meantime, we are focusing on optimizing our state level operating expenses. Going forward, we continue to evaluate opportunities to go deeper in the state. Michigan remains an important market for us as the nation's second largest cannabis market with over $3 billion in annual sales. To summarize, I am as excited about our future as I have ever been. With our recent refinancing, we have improved our financial flexibility to execute on our growth plan, which includes acquisitions of best and state operators at extremely attractive and accretive multiples. We have a lot to look forward to in our core markets. In Pennsylvania, we expect adult use in 2025. In New Jersey, we hold the number one position in one of the most attractive markets in the country. And in Maryland, we are bringing on new cultivation capacity and going deeper with penetration of our brands at our high-performing retail locations and through wholesale across the state. Finally, we have many greenfield opportunities to expand into new states like Ohio. We also continue to actively explore other transformative transactions. I would now like to turn the call over to Keith to provide a financial update.
Keith Stauffer: Thanks, Ziad. Good evening, everyone. The results that I'll be going over today have already been filed on both SEDAR + and with the SEC and all results that I will reference today are stated in US dollars. Net revenue for the second quarter of 2024 totaled $77.5 million, an increase of 7.5%, compared to $72.1 million for the second quarter of 2023. Wholesale revenue for the quarter was $24.4 million, compared to $13.9 million in Q2 of 2023, representing a 75% increase year-over-year. This growth was mainly driven by three factors; first, increased demand for our brands across the new store openings in New Jersey. Second, a doubling of our wholesale business in Pennsylvania, driven by performance of our Legend flower and Valhalla edibles brands; and third, a more than doubling of our Maryland wholesale business enabled by additional supply from the expansion of our cultivation and manufacturing facility in Hagerstown. Retail revenue for the quarter was $53.2 million, compared to $58.2 million in Q2 of 2023, representing an 8.7% decline year-over-year, mainly driven by new door openings in New Jersey and reductions in unprofitable revenue in Michigan, offset by growth in Maryland. Note that sequentially, our New Jersey retail revenue grew for the first time in four quarters. Gross profit margin for the second quarter of 2024 was 48.6% compared to 50.2% in the second quarter of 2023. The year-over-year decrease was driven by channel mix shift and price compression in New Jersey, partially offset by margin expansion in both Michigan and Maryland. Sequentially, gross margin improved 60 basis points, driven by improvements in both Maryland and Michigan. General and administrative expenses for the second quarter of 2024, excluding stock-based compensation, were $22.1 million compared to $28.5 million in the second quarter of last year. G&A as a percent of revenue also excluding stock-based compensation was 28.5% in the second quarter of 2024, compared to 39.5% in the second quarter of last year. The second quarter of this year includes a $4.2 million reversal of bad debt expense related to a settlement of an accounts receivable. Excluding this bad debt reversal, SG&A expenses were still down materially year-over-year, while net revenue grew 7.5%. We continue to focus on realizing expense leverage and managing SG&A at/or near the 30% level, excluding stock-based compensation and depreciation and amortization. Net loss from continuing operations for the second quarter of 2024 was $6.2 million, compared to a net loss of $12.9 million in the second quarter of last year. The improvement was driven by revenue and gross margin growth while reducing G&A expenses. Adjusted EBITDA from continuing operations for the second quarter of 2024 grew 21.9% year-over-year to $15.6 million, representing a 20.2% adjusted EBITDA margin compared to $12.8 million and 17.8% in the second quarter of 2023. The year-over-year margin improvement of 240 basis points was driven by a G&A expense leverage, partially offset by the decline in gross profit margin. Turning to the balance sheet and cash flow. Cash and cash equivalents, including restricted cash were $30.5 million as of the end of Q2 compared to $25.7 million as of the end of Q1 and $25.3 million as of the end of 2023. Net cash provided by continuing operations was $13.1 million for the second quarter of 2024 compared to $1.8 million in the second quarter of last year. This represented our eighth consecutive quarter of positive cash flow from continuing operations. The second quarter of 2024 included an $8.4 million federal tax refund related to an amended return we filed with the IRS. CapEx spending was $1.4 million in the second quarter, mainly related to the completion of our Hagerstown, Maryland expansion project, which doubled the output capacity at that site. Free cash flow was $11.7 million for the second quarter of 2024 compared to negative $200,000 in the second quarter of last year. During the quarter, we made $5.8 million of principal payments on our debt and $1.2 million of distributions to our New Jersey minority partners. On August 1, we closed on a non-dilutive senior secured term loan for gross proceeds of $140 million, bearing a coupon rate of 12.75% with a four-year duration maturing in August of 2028 with no prepayment penalties. The net proceeds of this term loan are being used to pay off existing higher interest debt maturing later this year. FocusGrowth was the lead lender on this loan, and we are very happy with the partnership that we have established with them and the trust and support that they have given us. I would also like to thank the additional lenders in the syndicate, including Jason Wild for this same trust and support. As a result of the closing of this deal, we have the financial resources and flexibility to execute on our growth plans, and we have no material debt obligations maturing until late 2027. The closing of this transaction also resulted in the reclassification of our debt from current to a long-term liability, which has resulted in our net working capital position turning from negative to positive. This stronger balance sheet position has enabled us to remove the going concern disclosure from our financial filings. Looking into Q3, we expect to be flat to slightly down across the P&L sequentially. In summary, we believe our second quarter represents another period of strong results with revenue and adjusted EBITDA increasing year-over-year. In addition, we delivered our eighth consecutive quarter of positive cash flow from continuing operations. Following quarter end, we took further action with our refinancing, which provides us with the financial flexibility and optionality to continue to execute on our growth plans. We look forward to sharing our progress on the business during our next quarterly call. I'd now like to turn the call back over to the operator for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. [Operator Instructions] One moment please for your first question. Your first question comes from Frederico Gomes, ATB Capital Markets. Frederico, please go ahead.
Frederico Gomes: Hi, thank you. Good evening. Thanks for taking my questions. First question is on New Jersey. You mentioned that you reached the number one market share during the first half of 2024. I'm curious, I think last time we reported, I think you mentioned you were second or third just. So are you gaining share in that market or maybe are other players losing? And any comments in terms of the competitive environment there at the wholesale level, just considering that it is an important market for many other MSOs as well? Thanks.
Keith Stauffer: Hi, Fred, this is Keith. I'll take the first part, and then I think Ziad will jump in to elaborate more on the market conditions. BDSA in their recent release, they improved the methodology of their market reads for the whole market, of course, not for us. And so as a result, in fact, we've been number one for quite some time. So -- and we actually spoke directly with the CEO of BDSA to confirm their methodology, which is more accurate according to them, 90% accuracy. And so that's been the result, and that's great. And so recasting their data back through the beginning of the year, we've been number one all along.
Ziad Ghanem: Yes. From the dynamic of the market, Frank, this is Ziad. From the dynamic of the market, we knew that when we went up from 17 stores to 150-plus stores that retail will be pressured. Within 20 miles of our stores, as we explained in our prepared remarks, we've had around 103 stores that were around our stores. So heavily, we were bombarded in our trade areas with stores. And we knew that if you offer the right service, if you have the right quality, if you have the right brand and if you continue to innovate and launch new products in excess of 25 new products that we launched in New Jersey, we will be able to weather the storm and go back to growth. So for the first quarter, as I have mentioned, our retail business has gone back to being positive. And looking into Q3, we're seeing the same trend. As a matter of fact, New Jersey for us in Q3, we expect it to continue to improve and gain share. So we're very happy. We're very pleased with New Jersey performance, and we continue to watch wholesale. We're seeing the shift -- now that we stabilized retail, we're seeing the business gaining momentum beside of wholesale increasing. And it really is the same consumer who is buying from our retail stores, buying through the wholesale channel in those independent retails, and that's why we're very excited, and we will continue to see that improvement. Now as a matter of fact, we have made the decision after we saw the turnaround and after we saw the stabilization of retail, we have made the decision to expand our Boonton facility. So we're starting that project, and it will come online at the beginning of 2025.
Keith Stauffer: And if I could just add in there just in terms of the quality of the market position, the depth of it for us, we're top three positions. I think as we had described in his prepared remarks across all the formats, across vapes, across flower, concentrates, edibles, so that's we really happy about that result.
Ziad Ghanem: Yeah. And what I'm proud about the most with what the team has done. We exited the quarter in June. Our June numbers in New Jersey, we grew -- the market grew by 1% in June where our business grew by 4%. So the momentum continues. And that's why we're confident about what we're seeing here in Q3.
Frederico Gomes: Perfect. Thanks for that color. And then second question here, just on the tax refund. I guess if you could just remind us how much more are you expecting there? Have you had any amount denied so far? Or are we still waiting for the reminder of the refunds? Thanks.
Ziad Ghanem: Sure. So we have a total of $30 million of refunds that we feel that we're owed. We received eight of that 30. So there's, still 22 that remains. Nothing has been denied. No further news other than our receipt of the $8 million.
Frederico Gomes: Great. Thanks for that.
Keith Stauffer: Thanks Fred.
Operator: Thank you. Your next question comes from Noel Atkinson, Clarus Securities. Noel, please go ahead.
Noel Atkinson: Good evening guys. It's nice to see you hit number one market share in New Jersey and congrats on the loan refinancing, that's great. A couple of quick ones for me, just you mentioned that you're expanding -- you've decided to expand the loan facility. What played into that? Because I think on the last call, we were talking about you thought that the existing yields were enough to be able to support the market and what the CapEx associated with that is going to be?
Ziad Ghanem: Yes. Hi Noel its Ziad. We've talked about the expansion mention, I would say, three or four quarters ago. But if you remember, we've had a massive improvement in yield in New Jersey. We improved our yield back then by 50%, and we called it Phase 1 of expansion. Then we near as we budgeted for 2024 that we are good on supply. And our thesis was retail will be pressured wholesale will make up for it. And we didn't know how long and where is the geography where the new stores will open. Now as we watch since January, we watch store-by-store, we watch the traffic. We watch the basket size. We watch items for each basket. We want the price per basket. We have six months data that give us high confidence the high confidence that our stores have listed and have gone back to growth. The combination of that retail stabilization and going back to growth and the wholesale business continuing to improve for us as what is encouraging us and helped us make the decision that we need to increase that capacity in order to service the extra 20,500 additional accounts that will come online over the next one to two years.
Noel Atkinson: Okay. And then just secondly, the $140 million facility, what -- after fees and expenses and all that, how much do you think you have available for acquisitions from that facility?
Keith Stauffer: Yeah. Hi Noel, this is Keith. We're not giving the exact amount, but there, of course, our closing fees and so forth as part of the $140 million. The loans that we paid off in total are about 120. So there's several million dollars left over that's on the balance sheet that can go towards M&A. And on the M&A front, and maybe you want to jump in, Jason, but on the M&A front, we're definitely, in all the discussions we're having, it's a variety of different structures in terms of some cash, mostly minimal cash, but also a lot is a discussion around seller's notes at low interest, earnouts as well. But yes, we have some extra cash on the balance sheet from the proceeds as a loan.
Noel Atkinson: Okay. And then maybe this is for Jason, I don't know. In terms of your efforts to get into Ohio, so you folks had hoped to be there ahead of the start date for adult use sales. Now that that's sort of come and went this week. As that date has approached, have you seen the deal pricing in Ohio changing at all, or is it still, as attractive as you were talking about before?
Jason Wild: Yes, no, I would say the pricing is and the discussions are exactly the same that they were before. I think we said last quarter, like, Ohio moved quicker than we expected them to do, and we were getting ourselves in gear and speeding up to the speed of the market, and we hope to be in the Ohio market in the early days, meaning, the first couple of months of the program. And I would say that we, feel even more confident at this point and we are further along where we think that we will be in the Ohio market in the first, say, one to two to three months of the market being adult use.
Noel Atkinson: Okay, great. All right. Thank you very much.
Jason Wild : Thanks, Noel.
Operator: Thank you. Your next question comes from Eric Des Lauriers, Craig-Hallum Capital Group. Eric, please go ahead.
Eric Des Lauriers: Great. Thank you for taking my questions. First one for me, just kind of a broad M&A question. So you guys have obviously done several acquisitions, various sizes as you are now looking at presumably some smaller bolt-on acquisitions in places like Ohio and then, a few comments on some larger transformational deals. I'm just wondering what are some of the learnings you've taken away from those previous M&A transactions you've done, whether that's on, sort of type of business, overall the structuring of the consideration, just kind of any sort of broad comments on sort of what you've learned and how that's influencing what you're looking at now in M&A. Thank you.
Jason Wild : Yes, absolutely. I'll start this off and then maybe Ziad or Keith can feel free to jump in. I would say, yes, it's funny. I mean, we were just having the conversation earlier today. Like these Ohio deals that we're looking at, they in and of themselves are transformational in terms of the size of the potential revenues and profitability that some of these businesses would drive. So, I would, even those I would consider, I would sort of consider transformational, but I would talk about those as sort of single state assets versus what I'm assuming you consider more transformational would be sort of a deal with, that brought in multiple states. We're looking at both. Some of the ones that would bring in multiple states could bring in, Ohio or one of these other single states that are higher on our priority list. But we're running all of this in parallel. And we -- as I mentioned on the previous question, we think we're pretty close in Ohio.
Ziad Ghanem: Yeah. Eric, what I want to add as far as the learning, look, in our portfolio, we have California, we have Michigan, we have New Jersey, we have Maryland, we have Pennsylvania, we have some of those states are only medical, some of those states we flip to recreational, some of those states are more advanced than others. So what we've learned throughout the years is as we build the business case for the state that we are acquiring, whether it's a small business, whether it's an SSO, or whether it's bigger, we play the most conservative scenario and the most aggressive scenario, and we protect ourselves against any surprises through earn-outs, earn-outs, and earn-outs that are long-term, earn-outs that are 36 months and beyond, and that is one of the biggest learnings, that's one of the biggest learnings, and we applied it in Maryland, and it paid its dividends.
Jason Wild: And I'll just add, because I think your question had a couple parts to it, that's from sort of the deal perspective. The other learnings are more on the integration and the operational perspective, which we've learned a lot. And we really have, I would say, a robust integration playbook and team that's ready to go with these new deals and plugged into what we're working on. And I'd say it was pretty seamless last year when we integrated the deals that we did in Maryland, and so we're ready to go, because as anyone knows, it's painful if you're not ready to integrate what you're acquiring.
Ziad Ghanem: Right. And that's a big benefit, as we discussed last year with Maryland, bringing that in and running it regionally certainly was a boost to our margins. One of the things that where we feel good about is, we've got what I would describe as admirable margins at this point relative to some of our much bigger competitors, but what happens when we get to the size and scale that they have? Yeah, we think that we could be materially higher from a margin and profitability perspective. So, Keith, good point, adding on the importance of the integration.
Eric Des Lauriers: That's all very helpful, I appreciate that color. I hope I didn't mishear this, but I think you had some comments on expanding or turning on additional rooms in Pennsylvania. I know there was some comments there on Maryland, so I guess first correct me if I'm wrong there. But then could you just kind of comment on Pennsylvania competitive dynamics, sort of what gives you confidence in the market? In turning on those additional rooms, you know, the market's ability to absorb additional supply, just any kind of comments around that would be helpful. Thank you.
Ziad Ghanem: Yeah. Thanks, Eric. What gives us confidence is the data that we are seeing both in retail and wholesale. We have currently turned on seven flower room in Pennsylvania, and that has helped us to double our wholesale volume in the state while we continue to have solid performance in our retail stores, and our stores continue to average above the state average per store. We are watching very carefully the news around from the regulators on when in 2025, Pennsylvania can turn recreational. And we expect that in the next one, two, three months here, we will expect to turn on the remaining nine rooms because you have that five-month lead before you harvest. So the current performance of our retail store, the wholesale business, this wholesale growth, the launch of new products. But also as we turn our attention to Pennsylvania to look at potentially going deeper in retail stores and add to our fleet of six stores, the combination of all those factors and the position we have on our inventory is what's encouraging us and giving us the confidence to do so.
Jason Wild: And I just want to build on that. And you had mentioned it right at the end there, I was going to jump in as the inventory position and our inventory position in PA and in fact, across the board is very healthy in all of our states, but especially NPA, which has enabled us to turn on those rooms. So, the team did a great job in sort of overcorrecting intentionally to work down the inventory levels that we've had to work through over the couple -- last couple of years, especially with distillate inventory levels that have a long life. We've worked through all of that through the sales like the set of our edibles and concentrates products. And so we're not really taking a bet here on turning on new rooms. We need to turn on additional rooms to continue to satisfy the demand that we're seeing.
Eric Des Lauriers: That's very helpful. Thanks for taking my question.
Operator: Your next question comes from Matt Bottomley, Canaccord. Matt, please go ahead.
Matt Bottomley: Good evening everyone. Hope everyone is well. I just wanted to get a little more color. You gave some good granularity on a market-by-market basis, particularly with your standing in New Jersey and some of the retail pressures there just with new store openings. But just given where you had kind of guided at Q1, maybe closer to $80 million for the quarter. What sort of changed on a macro level? And I'm just curious if there's any other statewide commentary you can give with respect to any sort of headwinds that may have come and gone since then?
Ziad Ghanem: Yes. This is Ziad. So, the miss -- so came the shortfall that we have came in from New Jersey wholesale. First of all, to reiterate, we grew 100% year-over-year. But internally, our expectations were higher. We mentioned that we are number one in the state. In general, wholesale by nature can be choppy quarter-over-quarter. Overall, the demand is there and we are confident that we will continue to fulfill that demand. We've talked often and we trained the team that for wholesale to be successful, you need the brand, you need the quality, you need the relationship with that brand. But then we also need the ground game. We -- once we sell, once we sell our orders and occupy the shelf in those distribution points, the velocity and the sell-through of our products, it's what's given us the confidence in what's causing our wholesale to continue to grow. But going back to the mix here, I mentioned how we exit the quarter in June. We're looking at the third quarter, and we will see growth quarter-over-quarter in our wholesale. Again, that's the nature of the choppiness. And that's the reason why we decided for 2025, we need more capacity. So, again, our expectations were higher than where we landed in New Jersey wholesale.
Matt Bottomley: Got it. Appreciate it. And then just the second one, just on your forward-looking commentary for Q3. So, I think muted growth is a bit of a theme in the sector right now and a lot of MSOs are sort of focusing on the profitability more. And I know you guys have done a good job at that over the past year. So, is there any puts and takes within that guidance with respect to tailwinds you're expecting less headwinds on a market-by-market basis? Just trying to get an idea of if everything is going to kind of be flat in a homogeneous way of certain markets like you had mentioned wholesale in New Jersey might rebound that might sort of be offsetting for us to track?
Keith Stauffer: Yes. Hi Matt, Keith, I can take that. There are puts and takes as usual. So, definitely on the positive side, like Ziad said, we expect continued growth in New Jersey wholesale. We did rebound the growth in New Jersey retail like we said in Q2. We're being a little bit cautious there in our guidance. So, maybe we can beat that and continue to grow in retail, but we're sort of like in the formula, assuming that wholesale growth offsets retail decline in New Jersey to remain flattish, again, just sort of as a forecast. PA is healthy as we talked, if anything, a little bit more further growth there in wholesale and retail stable in Maryland. We expect to grow Maryland wholesale. We've finished the capacity expansion there as we mentioned, and we're building distribution and portfolio breadth of our product line and expect some growth there, not in the millions, but definitely some growth. Maryland retail remains relatively stable, and those are more or less the puts and takes.
Matt Bottomley: Got it. Thank you.
Operator: Thank you. [Operator Instructions] Your next question comes from Andrew Semple, Ventum Financial. Andrew, please go ahead.
Andrew Semple: Good afternoon and congrats on Q2 results. First of all, I just want to ask about the potential to streamline some SG&A costs, perhaps by combining some regional management teams. Would you maybe just be able to quantify what kind of potential operating cost synergies you're looking to save there in the quarters ahead and kind of the timing of when we would expect to see that roll into the P&L?
Keith Stauffer: Hi, Andrew, this is Keith. I can take that. I just want to make sure we understand your question first, because when we talk about that, we talk about it in the context of M&A, like in Ohio. And if we complete a deal in Ohio, that's where we see some potential cost synergy, leveraging our state level existing Michigan infrastructure across a deal like that, as an example. So it's hard to say exactly how that would be until we actually close a deal. But that's the thought. And I don't know if I captured your question correctly or not.
Andrew Semple: That's fair. Maybe if I could reask it a different way. I think you're targeting 30% SG&A being about 30% of revenue. So is that dependent on closing deals? Or do you think if you weren't able to close a deal, you could you find other ways to get to those target levels?
Keith Stauffer: Okay. I got it. So yes, on that front, we continue -- it's almost like an ongoing exercise for us. So in fact, we're right in the middle organization-wide of yet another exercise of just turning over every stone, making sure we're being responsible, making sure we continue to adjust and adapt our retail labor model in every state to existing conditions and flex up and down as needed. And so that's how we plan to get to or maintain in this case, get back to the 30% because we're slightly above the 30% level in the way that we measure it. So that's the color behind that.
Ziad Ghanem: Yes. So not acquisition-dependent. -- if we got a nice bolt-on or what I would call transformative large deal in Ohio done, that should just be -- it should be able to help us drive us below 30%.
Andrew Semple: Understood. That's helpful. And then maybe just in terms of M&A and kind of how those discussions are evolving. I understand you probably can't get into too much details with this. But at a high level, what are you seeing in terms of potential targets being willing to take equity when you're discussing M&A transactions. In years prior, it felt that more of the privately held targets, we're more interested in cash consideration. But is there a growing appetite for targets accepting fair based consideration, especially with some of the catalysts we have around here.
Keith Stauffer: Yeah, absolutely. I'll take that. Yeah, I think there's definitely more of an interest in taking our stock as currency. The thing is we're a little less interested in using our stock as large of a component of a deal as we would have been talking about, say, a year ago. I mean, it's interesting. I mean these targets when we're talking to them, they're actually sort of fighting for stock versus cash or certainly like earn-out cash or sellers notes. So we're trying to have a balance there. They see that as upside and whatever valuation, the whole deal is happening, we're pointing out to them, hey, if one-quarter of this is stock, and our stock does what we think it can do over the next five years as we continue to build this business, you're going to end up doing really well in terms of the overall transaction. So bottom line, most of the targets on our stock more so than they did a year ago, but we're using it sparingly in our negotiations.
Andrew Semple: That's helpful. Appreciate you taking my questions. I'll get back into the queue.
Operator: Thank you. Your next question comes from Mike Regan, Excelsior Equities. Mike, please go ahead.
Mike Regan: Hi, everyone. Keith, real quick in terms of the guidance. In the past, you talked about gross margin staying 47% to 50% for the year. So within the context of the third quarter flattish to slightly down, is that percent still a reasonable expectation?
Ziad Ghanem: Yes. Hi, Mike, yes, it is. We just try to keep our language simple in our guidance by what we -- what I said in my prepared remarks. But to parse that for you, we expect gross margins to remain in that 48% to 50% range, depending on the quarter, and that's how we're thinking about it for Q3.
Mike Regan: Got it. Okay. And then a second question. I know it's a little early since a been a couple of days, but have you seen any thoughts or have you seen any trends on the Michigan stores on the border with Ohio in the first couple of days of Ohio adult-use?
Ziad Ghanem: Yeah. Nothing to share yet, Mike. It's still too early. We have entered -- our stores have not -- they're not in a close proximity to see much yet. But we are keeping an eye on Ohio, a very close -- Ohio with lot of conversations, lot of friends and potential families that we're talking to. And it's exciting what's happening in Ohio, but not on the Michigan side.
Mike Regan: Right. Great. And then just one more question. Did I see that you guys closed one of the California stores? And if so, is there any financial impact or cost savings or any revenue impact from that?
Ziad Ghanem: Yeah, Mike, very, very, very negligible. It's a store that was a baby store, super small store, store within a partnership. We're waiting for the lease to expire. We negotiated our way out of it, but it's super negligible.
Mike Regan: Got it.
Ziad Ghanem: Great. Okay. Thanks.
Operator: Thank you. [Operator Instructions] Your next question comes from Sonny Randhawa, Seaport. Sonny, please go ahead.
Sonny Randhawa: Hi, guys. Just, I guess, a little bit of a housekeeping issue. There was an adjustment for bad debt. Where was that captured in the income statement? Was that in revenue?
Keith Stauffer: Hi, Sonny, No, it was captured. The reversal came into operating expenses. It was a bad debt expense originally, and that's where it was reversed into operating expenses. And then in adjusted EBITDA, we added it back or subtracted it out however you want to think about it.
Q – Sonny Randhawa: Okay. So operating expenses were $4 million
Keith Stauffer: Yes, understated by -- not understated, but lower by $4 million.
Q – Sonny Randhawa: Okay. Okay. Perfect. And then just with the net proceeds, we're just trying to, I guess, just update our balance sheet for Q3. What were the net proceeds of refinancing?
Keith Stauffer: The -- yes, sorry, maybe you missed it before. But we're not -- we didn't give the exact number, but it's several million dollars net proceeds after we pay off the loans that are maturing plus the closing costs, et cetera.
Q – Sonny Randhawa: Okay. I guess I'll be in the next release. Right
Ziad Ghanem: Yes, Sonny, this is Ziad. I want to go back to the OpEx question just to make sure we're clear. Our underlying OpEx between Q1 to Q2 were down $400,000 from $25.5 million to $25.1 million.
Keith Stauffer: That's not affected by the bad debt reversal. That's why that's true the GAAP reported EBITDA number was higher because they capture that, and we adjusted it out. That's why the adjusted EBITDA number was lower than the GAAP EBITDA number.
Q – Sonny Randhawa: Yes. I Appreciate it
Ziad Ghanem: Thank you.
Keith Stauffer: Thank you.
Operator: I will now turn it back to Jason Wild for closing remarks.
Jason Wild: Well, thank you, everybody, for joining us for this quarter's call. We look forward to talking to you in a few months.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.